Operator: Greetings, and welcome to the BDSI Fourth Quarter and Full Year 2019 Finance Results Call and Webcast. At this time, all parties are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded.It is now my pleasure to introduce your host, Terry Coelho, CFO. Thank you, Terry, you may begin.
Terry Coelho: Thank you and good afternoon everyone. Welcome to our fourth quarter and full year 2019 earnings conference call. Leading the call today is Herm Cukier, Chief Executive Officer. We are joined by Scott Plesha, President and Chief Commercial Officer. Following our prepared remarks, we will conduct a question-and-answer session. Earlier today, BioDelivery Sciences issued a press release announcing its financial results for the fourth quarter and full year 2019. The copy of the release can be found on the Investor Relations page of the Company's website.Before we begin, I would like to remind everyone that certain statements may be made during this call, which may contain forward-looking statements. Such forward-looking statements are based upon current expectations and there can be no assurances that the results contemplated in these statements will be realized. Actual results may differ materially from such statements due to a number of factors and risks, some of which are identified in our press release and our annual, quarterly and other reports filed with the SEC.These forward-looking statements are based on information available to BDSI today, March 12, 2020, and the Company assumes no obligation to update statements as circumstances change.An audio recording and broadcast replay for today's conference call will also be available online, in the Investor Section of the Company's website.With that, I'd like to turn the call over to Herm Cukier. Herm?
Herm Cukier: Thank you very much, Terry. It is my pleasure to welcome everyone to BDSI's fourth quarter and full year 2019 earnings call. I'm very pleased to report that our employees once again delivered another very successful quarter to cap off an outstanding year in 2019. Through persistent and dedicated efforts throughout the year, we've accomplished our goal of transforming the enterprise and positioning ourselves for long-term sustained growth.The quarter was characterized by continued strong execution including achieving record levels of prescription growth, numbers for drivers, and insurance coverage for the BELBUCA and Symproic, in addition to launching new innovative campaigns and scientific programs. Together, these efforts help achieve the seven straight quarter of significant growth and strong financial performance for the Company.I would like to thank our employees for their outstanding accomplishments, both during the fourth quarter and throughout all of 2019. Moving into 2020, I'm confident we'll continue to further capitalize on the growth potential of both the BELBUCA and Symproic by building upon the successful commercial foundation we have established.In a moment, Scott will go into more details of this next stage of our product acceleration plan, which remains true to our pillars of optimizing sales force customer interactions, ensuring open inappropriate access to our products, building medical confidence through scientific knowledge, and bringing voice to the patient in the treatment process.An important example of our determination to further advance scientific evidence, supporting differentiated attributes BELBUCA is a previously announced Phase I respiratory drive study, which was presented to the American Academy of Pain Medicine’s meeting last month.The primary objective of the study was to evaluate the impact of BELBUCA and oral oxycodone on respiratory drive and healthy volunteers, a measure correlated with the risk of respiratory depression. Importantly, into starting BELBUCA’s effect on respiratory drive was comparable to placebo with all tested doses, which included the highest available market dose of 900 micrograms.This contrasted with the results oxycodone, which experienced a dose dependent decrease in respiratory drive in the study, including being statistically lower than placebo with a single dose of 60 milligrams. We believe this is important information for health care providers, and we'll be sharing more details in medical forums throughout the year.Moving forward, we will continue to work with the medical community to identify additional clinical information and deepens the understanding of BELBUCA's unique properties and usage in the management of chronic pain patients. Finally, in regard to Symproic, while there is more work to be done, the rebound and growth trajectory during the fourth quarter and sustained share gains to start the New Year highlights the product potential as an ideal operational complements to BELBUCA.We've been able to successfully leverage our existing commercial infrastructure to continuously add significant number of new prescribers every quarter for Symproic and achieve record number of scripts. With the addition of approximately 40 million commercialized and preferred position to start 2020, I am confident we're poised for long term sustained success with Symproic through its patent exclusivity, which is a reminder of last until at least 2031.To conclude, the fourth quarter was once again marked by very strong and focused performance throughout our organization in line with a vigorous trajectory established in prior quarters. We accomplished a great deal in 2019 and are proud of the value we bring the patient every day with meaningfully differentiated products. We are excited about the opportunities ahead of us and confident in our ability to successfully capitalize on them with continued focus and strong persistent execution.Before turning the call over to Scott, I'd like to briefly address the current COVID-19 pandemic. We are very closely monitoring the rapidly evolving situation and its potential impact on our business. We have a very strong balance sheet and a minimum of three months of finished goods on hand for all products. Additionally, BELBUCA as a Schedule III product allows for circumscription to be filled over the phone and also allows for multiple refills without a new prescription.Most importantly, as a health care company, BDSI's employees have an important mission, and we'll continue to work hard every day to serve the patients and customers rely on us to supply our clinically meaningful products.With that, I'll turn the call over to Scott to provide more details of the operation success during the fourth quarter and throughout 2019. Scott?
Scott Plesha: Thank you, Herm. As Herm highlighted our commercial team continues to deliver record levels above BELBUCA prescriptions and revenue during the fourth quarter. Additionally, the drug is tracking in line with expectations during January and February. A period was terms of seasonal softness across branded pharmaceutical products, as patients change healthcare plans and deductibles are reset.During Q4 2019, we reached another all-time high for BELBUCA prescription of more than 96,100 retails TRx. This represents a 71% increase in BELBUCA TRx compared to approximately 56,200 total prescriptions in the fourth quarter of last year. The strong finish to the year resulted in BELBUCA generating 331,700 TRx in 2019, which represents an increase of approximately 104% over the previous year.We've demonstrated a strong track record of commercial executions BELBUCA remain confident of sustainability of that growth base upon several key drivers and supportive market dynamics, which I'll now discuss. First, our prescriber base for BELBUCA in the fourth quarter continued to expand and grew by over 1,200 new prescribers. The fourth quarter in a row where we added more than 1,000 new subscribers with over 7,300 total unique prescribers in the quarter, an increase of 37% versus the same period a year ago.With respect to our established prescriber base, we're continuing to see a quarter-over-quarter increase in BELBUCA prescriptions across high, medium and low decile prescribers, highlighting the broad acceptability of the brand. These trends also show that health care providers are able to access BELBUCA with fewer restrictions to the large improvements we've made in market access over the past few years and now into 2020.During the fourth quarter, new to brand market share of 7.3% was down modestly versus 7.6% in Q3 was still well above total TRx share of 3.3%, which indicates that there's still a significant opportunity to grow total prescriptions, as these metrics historically converge. While we have work to do the 3.6% TRx market share that BELBUCA has attained in February of 2020 gives us confidence we're moving in the right direction.We believe that the extremely successful 2019 that BELBUCA enjoyed was largely the result of 4 point growth plan that we put in place at the end of 2018. Now that we've had the results from the first stage of our growth plan and we've had time to learn more about our customers. We have initiated the second stage of our plan. We believe this next phase will build on our previous success and let me provide some specific initiatives.First, we have built a significant BELBUCA prescriber base to productive long-acting opiate prescribers. When analyzing many of these subscribers, we believe we can increase prescriber productivity by converting trials to adopters, specifically with a medium to high decile prescribers.Our research indicates that reinforcing the efficacy and safety profiles of BELBUCA will lead to an increase in BELBUCA adoption. There's also an opportunity to add new unique BELBUCA prescribers throughout the year when we look at approximately 5,000 during 2020. We have learned from our insights that messaging around BELBUCA's efficacy and extensive market access will allow us to continue to build this subscriber base.Next, we believe that BELBUCA sales are benefiting from the current paradigm shift in the treatment of chronic pain and the reduced use of C2 opioids. The primary use of BELBUCA or buprenorphine prior to failing other classes of opioids aligns with the best practices recommendations from the HHS task force report, which was published last night.We believe that this is one of the reasons we're seeing approximately 85% the overwhelming majority of our patients that are new to BELBUCA are switching from short-acting opiates to BELBUCA or BELBUCA is acting added to them with the goal of reducing their C2 opioids.Oxycodone IR and hydrocodone IR are accounted for approximately two thirds of this volume and provide a focus for us. We will specifically look to capture market share when patients are transitioning from short-acting to other long-acting like fentanyl and OxyContin. The share of these other long-acting opioids are declining while BELBUCA share is steadily growing. Our market research or knowledge of our customers support that this focus will lead to an increase in BELBUCA prescribing.Finally, during Q4, we announced that we'll be adding up to 14 million lives covering either preferred or preferred exclusive position to a leading national PBM. A number of the plans utilizing this PBM made formulary changes in Q4, but the majority of the implementations are current in 2020. We're encouraged by the early results we're seeing in this PBM, when our share with has reached highest at 4.7%.With this addition, there are now nearly 105 million patients with preferred commercial covers are close to 60% of lives. This recent win is important to our growth and we believe there remains a significant opportunity to grow our business with the other previous payer wins.Our confidence with a long-term outlook for Symproic continues to grow now that we've completed our second full quarter of promotion.As previously stated, Symproic is a good complimentary second position detail product of BELBUCA allows us to lever the high performing sales force amongst our pain specialist targets. We're still in the early innings of the products relaunch, I've worked to do here as well and so our improved growth during Q4 and key metrics so far in 2020 support our continued momentum. Q4 retail prescriptions for Symproic reached over 16,500, which is a new high and a 36% increase year-over-year compared to Q4 2018. We also reached a new high in NRx of over 9,500 for the quarter.During Q4 2019, we generated a 12.7 NRx share and 11.2 TRx share representing the highest market share of 2019. We expect continued TRx and revenue growth for Symproic as its NRx share has consistently exceeded TRx share since May 2019 and is running about 13% so far in Q1. To assure we accomplish this goal, we are initiating additional marketing efforts to seek to increase subscriber update, since we're still in relaunch mode for Symproic, it is crucial that we build our prescriber base.In the fourth quarter, we successfully added 920 new prescribers for Symproic, which helped the brand to reach another new quarterly high of over 4,800 prescribers. Importantly, as we anticipated our current BELBUCA prescribers provided 80% of the growth that we saw for some products during the quarter. The key growth driver for Symproic will be the enhanced market access for up to 40 million commercial lives that we announced recently. We're encouraged that within the PBM that was part of that announcement, we've already seen approximately a 25% increase in PAMORA market share with continued opportunity for growth.We're intensely focused on a BELBUCA's second stage growth plan which will expand our prescriber base, increase prescriber productivity, and maximize tool through our market access wins. For Symproic, we will continue to leverage our existing relationship with payers and prescribers and will strive to maximize the impact of recently improved access. We are confident in our ability to execute commercially and believe that our team's customer relationships and focus will continue to deliver clinical value for patients.With that, I'll turn the call over to Terry to cover the financials in more detail. Terry?
Terry Coelho: Thank you, Scott. As Herm and Scott discussed, we are very excited to report outstanding fourth quarter and full year results. 2019 was a transformational year from a financial perspective, as we leveraged our significant top line growth, improved our gross margins and improved our debt position deposition, which reduced our cash interest payments, culminating in closing the year with $64 million of cash on hand and a very strong balance sheet.Total company net revenue for the full year 2019 of $111.4 million exceeded our 2019 revenue guidance of $105 million to $110 million. Total revenues for 2019 were up by 100% when compared to $55.6 million for full year 2018. The increase in 2019 is principally driven by BELBUCA, which accounts for 88% of total sales for the year, and the successful addition of Symproic to our commercial portfolio in the second quarter of 2019.Full year 2019, net sales of BELBUCA was $97.5 million, up 112%, or more than double the $46 million in 2018. Symproic has been an ideal complementary product for BDSI as we were able to effectively integrate it into our product portfolio and take advantage of the substantial overlap in the target subscriber base. Since acquiring the U.S. Commercial Rights to Symproic from Shionogi in the April 2019, we have booked net sales of approximately $8.1 million in the last three quarters of 2019.Total company gross margin for full year's 2019 was 81%, a meaningful improvement as compared to 72% in the prior year. Excluding the one-time impacts of approximately $3.8 million and costs associated with the planned discontinuation of marketing of BUNAVAIL announced in March of this year, the full year 2019 gross margin for the Company would have been 82%.BELBUCA gross margins improved 500 basis points year-over-year to 86% of net sales, reflecting continued improvements in manufacturing costs associated with both scale and process improvements.Total operating expenses for the full year 2019 were $86.1 million, compared to $63.5 million for 2018. The year-over-year increase is primarily driven by the impact of the expanded sales force and market access team as well as the establishment of the medical affairs and MSL team, together with the introduction of Symproic into the portfolio.We expect the 2020 will contain a full year of these additional resources, which were gradually implemented throughout 2019. In addition, some further investments supporting patients outreach and additional clinical trials and medical education behind BELBUCA.GAAP net loss for the full year 2019 was $15.3 million or a net loss of $0.18 per share compared to a GAAP net loss of $46.4 million in 2018, which included a $12.5 million loss from the beneficial conversion feature of preferred stock. 2018 GAAP net loss excluding the beneficial conversion feature of preferred stock was $33.9 million.2019 full year EBITDA was $12.5 million or 11.2% of net sales as compared to negative EBITDA of $17.5 million or negative 31.4% of net sales in 2018. And non-GAAP net income for full year 2019 was $13.2 million or 11.8% of net sales and reflects GAAP net income excluding stock-based compensation, non-cash amortization of intangible assets and warrant discounts. The non-recurring cost of the debt refinancing, which closed in May 2019 and the non-recurring financial impact related to the discontinuation of the marketing of BUNAVAIL.Let's turn to the fourth quarter of 2019. For the quarter financial results exceeded both the third quarter of 2019 and the prior year quarter. Total net revenue for the fourth quarter 2019 was $31.6 million, an increase of 75%, compared to $18 million in the fourth quarter of 2018. In addition, total revenue in this fourth quarter increased by 4%, compared to $30.3 million in the third quarter of 2019.BELBUCA net sales in the fourth quarter, which $28.3 million, an increase of 78%, compared to $16.9 million in the fourth quarter of 2018. The net sales growth of 7% in the fourth quarter versus the third quarter was primarily driven by the continuing growth in prescriptions, which Scott shared, as gross to net deductions of 51% remained relatively flat quarter-over-quarter.Symproic net sales in the fourth quarter were $2.7 million. Symproic net sales increased 25% versus the third quarter, mostly driven by our ability to leverage our high performing sales force. Royalty revenues for ex-U.S. sales PAINKYL and BREAKYL totaled $1.2 million for the 3 months ended December 31, 2019, in line with the royalty revenues during the fourth quarter of 2018, and an increase of $500,000, compared to the third quarter of 2019.Total gross margin for the quarter was 77% as compared to 78% in the fourth quarter of 2018. Excluding the one-time $3.8 million impact of the BUNAVAIL discontinuation costs, the overall company gross margin in the fourth quarter of 2019 would have been 83%. Total operating expenses for the fourth quarter of 2019 were $23.8 million compared to $18.5 million in the fourth quarter of 2018 and $23.4 million in the third quarter of 2019. The drivers of the year-over-year increase in the quarter are consistent with what I shared regarding the full year increase in operating expenses.GAAP net loss for the fourth quarter was $700,000 or a net loss of $0.01 per share compared to GAAP net loss of $7 million in the fourth quarter of 2018, or net loss of $0.10 per share. The fourth quarter's net loss reflects our overall revenue growth, coupled with improving gross margins, as well as our improving operational efficiency. These factors were partially offset by non-recurring costs of approximately $3.8 million associated with the announcement from this month to discontinue marketing of BUNAVAIL 2020.EBITDA the fourth quarter of 2019 was $4.1 million or 13% of that net sales, compared with negative $3 million in the fourth quarter of 2018 and $3.5 million, or 11.7% in the third quarter of 2019. This is our fourth consecutive quarter and first full year of being EBITDA positive, which highlights the Company's commercial success and operational efficiency.Non GAAP net income for the fourth quarter was $6.4 million and reflects GAAP net income excluding stock based compensation, non-cash amortization of intangible assets and the non-recurring financial impact related to the discontinuation of the marketing of BUNAVAIL. At December 31 2019, BDSI had cash and cash equivalents of approximately $63.9 million. This compared to cash and cash equivalents of approximately $55.9 million at September 30, 2019.Operating cash flow in the fourth quarter was $16.9 million compared to negative $5.8 million in the fourth quarter of 2018. Full year operating cash flow was $11.1 million. As I indicated earlier, we are pleased to end 2019 with a healthy balance sheet and strong overall financial position. We are very proud of our accomplishments over the past year and look forward to continuing to bring meaningful clinical value to our patients.We'd now like to open the line for questions. Operator.
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] Your first question comes from Brandon Folkes of Cantor Fitzgerald. Please go ahead.
Brandon Folkes: Hi, thanks for taking my question and congratulations on all the progress this year. Firstly can you talk about any feedback you've received from physicians on their willingness to write BELBUCA descriptions over the phone? This seems to be yet another potential significant advantage. Just trying to get a sense of how we should think about this pull through in practice. And maybe do you have any sense, if the patients are actually aware that they can get these prescriptions this way? Thank you.
Scott Plesha: Brandon, this is Scott. Thank you for the question, and timely, we actually are making sure at the physician levels that that they were to do this, but we see this quite commonly. There’s obviously eprescribing is more and more common as time has become more common as time has gone on, but it is an advantage to have C3 where you basically can have a hard script or call it in and then also ultimately add refills to it at the five months. And then on the patient side, I know that there's that awareness on that side. I do think that we really haven't done something we really pursued at the patient level.
Herm Cukier: I'm sorry, Brandon. I was going to add to what Scott was saying, that you're absolutely right and I do think it's an opportunity, and I think it's something that we're going to be taking a very close look at right here in the very near term.
Brandon Folkes: And then, maybe the shifting to Symproic and looks like a very good start to 2020. Could you just maybe elaborate in terms of the growth drivers we should expect in 2020? Is it going to be the increased access? Should we expect more wins? Just any additional color there, thank you.
Scott Plesha: Again, Brandon, this is Scott. Yes, the market access wins are going to be I think critical for our growth. So adding 40 million preferred lives is substantial, that's taken us to almost 60% preferred coverage there as well. So, we've opened up those lives whether or not covered previously. One of the lives we’re co-preferred within CDS, within prime we've seen, as I had mentioned in the script, we've seen a jump in the market share already from about 20% to a little bit over 45% in February. So, still a lot more work to do there, but we're seeing some really nice pull through.
Operator: Your next question comes from David Amsellem of Piper Jaffray.
David Amsellem: So just building on the first question, maybe it's too early to assess this, but are you in a position to talk about the extent to which doctors are writing new prescriptions for a given brand pain product like BELBUCA and/or our parents back there appointments with patients? So that's number one. Maybe too early to assess that, but just thought I'd give it a try and ask. And then secondly, what's your goal regarding percent of covered, percent of commercialized and Medicare Part D lives that you ultimately think will have preferred access to BELBUCA? I mean, what should we think in terms of steady state for both on the commercial front and the Medicare Part D front different in terms of preferred access? Thanks.
Scott Plesha: David, it's Scott again. So regarding the officers and their prescribing seeing patients, we are hearing some sporadic situations. But I think, it's really early to understand any kind of impact at this point in time, so probably wouldn't be responsible to comment on it. Obviously, we're monitoring closely and looking at how we can mitigate anything that would occur. And then Herm, do you have anything?
Herm Cukier: No, thanks so much Scott. And with regard to our ambition with open access to the product, as we’ve seen longer, we believe that BELBUCA is a very important differentiated opportunity for physicians and armamentarium and the management of this patient population. And we'd like to see all patients have open and appropriate access to the product. And as Scott mentioned, we've done a tremendous job on the commercial side where we have well over 90% open access and 50% of that being preferred. We're going to continue to chip away to increase that preferred coverage. I think the vast majority right now is really more on the regional plan. Scott and team are working very hard to open up that at the preferred level.And on the Medicare side, as we've been saying all along, it's been a lot stickier. And we certainly have been disappointed by the challenges with opening that up to the Medicare patients, but we continue to have very constructive discussions. We're absolutely committed to that. And we believe that we'll get to a very meaningful level of Medicare coverage. I believe you that you're probably more of a 2021 expansion plan, just given the timing of that. But again, we're very pleased by the trajectory that discussions are leading us soon. We look forward in the future to updating accordingly.
Operator: You're next question comes from Gregg Gilbert of SunTrust.
Gregg Gilbert: Thanks team. I'm sorry. I got on a minute late, so I may have missed this. But Scott, I mentioned there has been or certainly will be some disruption in the field force's ability to interact with prescribers given the coronavirus situation. Can you offer any context around that what you're seeing real time and any implications for the forecast? Or is it just premature to comment in any specific way?
Scott Plesha: Yes, Gregg. Really, at this point, it is premature, it's really early. As I said, we're going to monitor it. We're continually speaking with the management team and the reps and doing everything we can on the back and to prepare if there's any change.
Herm Cukier: I would just add to that point, Scott. You're absolutely right. And I think, as you pointed out, it is a Schedule III product. I think it has some logistically very differentiated opportunities as this pandemic evolves, and we'll have to wait and see. It is an unprecedented set of circumstances and very difficult at this point to know exactly what's coming, what's going to transpire. But also, this is obviously very debilitating critical disease where patients, I think we could all understand, need to have continued access to their products. So, I do think it's fairly early and we are monitoring very closely, and we'll see how the situation evolves in these unprecedented set of circumstances.
Gregg Gilbert: And Herm, is there worth noting about the supply chain? Again, I'm sorry, if you covered that proactively early on, but is there anything we should know about how many months worth of product you have or confident having regardless of what happens geographically?
Herm Cukier: Yes, absolutely, Greg, no worries at all. We do have on hand more than three months of finished products for all, for both -- for all seven doses strength of BELBUCA as well as for Symproic. And we also are working very closely with our third-party manufacturers that are here in the United States and working hard to ensure that we have all the materials that we need to continue to supply the product going to the second half of the year. So, we are very confident of where we are today and look forward to continue to work with our manufacturers, but good thing is we're in good shape in that regard.
Gregg Gilbert: And then, I'll just ask one longer term question hoping these near-term matters pass soon enough. Have you evolved the Company, curious what you're thinking about/looking at from a bizdev standpoint? I know that you and team have a philosophical view that two products, growing two products with the sales team is optimal, but how are you thinking about evolving the Company from a BD standpoint whether it's later this year or in the years that follow? What's are your criteria that you're thinking about? Thanks.
Herm Cukier: Thanks so much for the questions. Yes, you're absolutely right. We've got a very strong organization with a very strong balance sheet and strong trajectory of growth with the products we have in hand. We're going to continue to leverage our capital capability to further invest in first and foremost continuous flow of execution in the organic growth of our products. We did hire a new Head of Business Development early this year, and we certainly look forward to building that next chapter of the Company. But we don't have a burning bridge, we have some time we're going to be thoughtful and judicious. And as we think about how to appropriately scale the Company, but I think that's more in front of us. And as those events unfold, we look forward to come back and then sharing updates accordingly. Thank you for your question.
Operator: Thank you. Your next question comes from Esther Hong of Janney. Please go ahead.
Esther Hong: Hi, thanks for taking my questions. So, A little bit different questions. So can you remind us of the data from the recently completed respiratory depression study? How is the data viewed by physicians to you? It was a small data set. So do you plan on conducting a little bit of a bigger trial? Thanks.
Herm Cukier: Hi, Esther, how are you there? Thank you so much for the question. And, yes, certainly so far, I think it's very early as the material was just recently presented at the AAPM a few weeks ago. And obviously, I think with all the rapidly evolving pandemic situation, this is bit early to definitive feedback, but certainly at the conference itself and there was a lot of very positive energy and a great appreciation for the data that was presented.And as I said during my opening remarks, I think what's really important is the data for BELBUCA was comparable to placebo in the few different doses strengths that were tested for 600 and 900 micrograms versus the results for the oral oxycodone, which were two different doses strengths preferred in 60 milligram, which showed a post-attendance decrease in flow through rate, and was statistically different from placebo at the 60 milligram dose.And so again, I think this is information that we believe and giving the appreciated differentiated profile with regards to respiratory depression of BELBUCA versus Schedule II opioids that this is just another data point that I think is important for physicians to be aware of or to learn more about under consideration of the optimal treatment of the risk benefit of working their armamentarium to treat this very serious debilitating disease.
Operator: Thank you. The next question comes from Matt Kaplan of Ladenburg. Please go ahead.
Matt Kaplan: Hi, good afternoon guys. I just wanted to focus in on BELBUCA a little bit. I guess what do you think could really drive a true inflection point in BELBUCA utilization, which would be different than what we're seeing now in terms of slow steady growth that you're able to achieve? Again significant market share in the opioid market given its preferable characteristics obviously is a Schedule III and less respiratory depression. What do you think needs to happen to really have -- drive that inflection?
Herm Cukier: Matt, thanks so much for the question. Greatly appreciated and you're right, I mean, BELBUCA growth trajectory has been a very appreciated and continues to grow. I think Scott and team have done tremendous job from an execution perspective given the results that which are shared for both the fourth quarter 2019 as well as full year 2019. But also very importantly what we're seeing in January and February of this year, which Scott we know as mentioned or at least, similarly to industry wise, kind of a soft this month of the year.But certainly, we saw results that were in line with expectation and we continue market share increase. And the ability to saying all along that this is going to be a continuous growth trajectory for a very long time, getting physicians to change behaviors that have been ingrained for a very long period of time, and given the complexity of the disease and the transition to physicians that patients are making from their use of short-acting opioids and different levels of potencies and different products and different information products and really getting this within BELBUCA, which going to be a continuous journey overtime and so far that has proven to be true.Maybe to take your question as to what could be additional accelerants or catalysts above and beyond the healthy growth trajectory that the brand was been on, I think it's one of the things that we've shared in the past and we continue to work on. They range from significant policy initiatives. And again, we've been very pleased over the last year plus of the continued growth, momentum and energy and wind behind ourselves that we're seeing in Washington.This only continues that that trend will continue over time. And if we see some major policy initiatives with regard to further clarifying the benefits of differentiation so far of a Schedule III versus Schedule II opioids, as we saw in the payment of disciplinary cash flows report that was issued in May of last year. I think that could certainly be an example of a type of accelerant that could change a positive trajectory that that we've been on.And also, as we mentioned from Scott and myself and the team are extremely committed to opening up Medicare completely and again, we're committed to doing that. We are pleased by the discourse that we've been having. And we certainly anticipate, as I mentioned, over time, that we will further open a Medicare and I think that that will also potentially serve as another accelerant to the project that we've been on, given the fact that the market is split other than Medicaid roughly 50-50 between the commercial side of leisure and Medicare.So, we've been growing very well in Medicare, but certainly if we open up full access in Medicare, that would be we believe another potential accelerant to the growth trajectory of the product.
Matt Kaplan: Okay, that's helpful. Thank you. And then Symproic, now that you have a couple quarters under your belt. Can you give us sense in terms of the competitive landscape? And how you're detailing the product and differentiating it between the other products out there, Movantik, et cetera? And what you're seeing in terms of being able to gain share there?
Herm Cukier: Yes, Matt, thank you for the question. We've been very excited about the reception for the drug. But actually, it's in line with what we felt we would hear when we did due diligence and purchase the product. It seems to resonate that there's very strong Phase II data -- I'm sorry, secondary endpoints with the product, things like spontaneous bowel movements and complete bowel movements are resonating with HCPs. Also the AGA provides guidelines and treatments of OIC.And in fact, some protocols the highest rating of all the PAMORAs within that class. And that has resonated all to the payers as well. And I think more importantly, there's more and more prescribers, and more and more experience occurring. And once they actually utilize it and their patients are seeing good results. So, we're seeing that clinically as well, which is the real true witness.So, we're early stages here. It's kind of flat in the first quarter we had it, but that we expect that with the product being transitioned to us. And now we have it on a better growth trajectory, you’re seeing our share growth, our NBRx share growth. So, we've a lot of work to do, but we're confident we'll get there.
Matt Kaplan: And other pricing dynamics in the space that you can take advantage of?
Herm Cukier: I don't know that there's a clear differentiation there. So, we're very close to where Movantik is priced. Relistor is priced considerably more than both of us. At this point in time, due to different contracts and whatnot, we're probably looking to realize somewhere in the 5% range or going forward.I think we've talked about that publicly in the past and I think that will be consistent going forward as well. The other change I’ll add is. Right now, I think you may be aware that Movantik was announced being acquired by another company. So, anytime this disruption will work to try to take advantage as well.
Operator: There are no further questions at this time. And this concludes today's teleconference. You may now disconnect your lines at this time. Thank you for your participation.